Executives: Jim Landers - Vice President of Corporate Finance Richard A. Hubbell - Chief Executive Officer, President, Director, Chief Executive Officer of Marine Products Corporation, President of Marine Products Corporation and Director of Marine Products Corporation Ben M. Palmer - Chief Financial Officer, Principal Accounting Officer, Vice President and Treasurer
Analysts: John M. Daniel - Simmons & Company International, Research Division Andrea Sharkey - Gabelli & Company, Inc. Luke M. Lemoine - Capital One Southcoast, Inc., Research Division Neal Dingmann - SunTrust Robinson Humphrey, Inc., Research Division Brian Uhlmer - Global Hunter Securities, LLC, Research Division Michael Cerasoli - Goldman Sachs Group Inc., Research Division Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division Michael R. Marino - Stephens Inc., Research Division Daniel J. Burke - Johnson Rice & Company, L.L.C., Research Division Matthew D. Conlan - Wells Fargo Securities, LLC, Research Division
Operator: Good morning, and thank you for joining us for RPC Incorporated's First Quarter 2013 Earnings Conference Call. Today's call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. [Operator Instructions] I would like to advise everyone that this conference call is being recorded. Jim will get us started by reading the forward-looking disclaimer.
Jim Landers: Thank you, and good morning. Before we begin our call today, I want to remind you that in order to talk about our company, we're going to mention a few things that are not historical facts. Some of the statements that may be made on this call could be forward-looking in nature and reflect a number of known and unknown risks. I'd like to refer you to our press release issued today, along with our 2012 10-K and other public filings that outline those risks, all of which can be found at RPC's website at www.rpc.net. In today's earnings release and conference call, we'll be referring to EBITDA, which is a non-GAAP measure of operating performance. RPC uses EBITDA as a measure of operating performance because it allows us to compare performance consistently over various periods without regard to changes in our capital structure. We are also required to use EBITDA to report compliance with financial covenants under our revolving credit facility. Our press release today and our website provide a reconciliation of EBITDA to net income, the nearest GAAP financial measure. Please review that disclosure if you're interested in seeing how it's calculated. If you've not received our press release for any reason, please visit our website again at www.rpc.net for a copy. I will now turn the call over to our President and CEO, Rick Hubbell.
Richard A. Hubbell: Thanks, Jim. This morning, we issued our earnings press release for RPC's first quarter of 2013. Following my comments, Ben Palmer will discuss our financial results in more detail. RPC experienced a challenging first quarter this year. Our revenues declined compared to the prior quarter and the prior year due to increased competitive pressures in all of our markets. While overall industry activity declined moderately, the increase in available equipment in the U.S. domestic market during the past few years has continued to depress market rates for our services. At RPC, we especially felt the impact of these competitive forces because of our transition from stable contract work to highly competitive spot market. Spot market pricing for all of our major service lines experienced weakness and utilization declined in many of our service lines. Our CFO, Ben Palmer, will now review our financial results in detail for the first quarter.
Ben M. Palmer: Okay. Thanks, Rick. For the quarter ended March 31, 2013, revenues decreased 15.3% to $425.8 million compared to the record revenues of $502.6 million in the prior year. These lower revenues resulted primarily from increasingly competitive pricing coupled with lower activity levels in most of our service lines. EBITDA for the first quarter decreased 39.7% to $110.6 million compared to our a record EBITDA of $183.3 million for the same period last year. Operating profit for the quarter decreased 56.3% to $57.2 million compared to $130.9 million in the prior year. Our diluted earnings per share for the quarter were $0.16, a 56.8% decrease compared to $0.37 in the prior year. Cost of revenues decreased from $273.8 million in the first quarter of the prior year to $268.2 million in the first quarter of the current year, due to lower activity levels. Cost of revenues as a percentage of revenues increased from 54.5% in the prior year to 63% for the first quarter of the current year, due primarily to increased competitive pricing. Selling, general and administrative expenses during the quarter were $44.9 million, which were unchanged from the prior year. SG&A expenses as a percentage of revenues increased from 8.9% last year to 10.5% this year. This percentage increase was primarily due to the relatively fixed nature of these expenses during the short term. Depreciation and amortization were $52.8 million for the first quarter, an increase of 2.4% compared to $51.6 million in the prior year. Our Technical Services segment revenues decreased 14.6%. Operating profit for this segment decreased to $58.5 million compared to $123.5 million in the prior year. The decrease in revenues and operating profit was primarily due to lower pricing for our services coupled with lower equipment and personnel utilization within this segment. Our first quarter Support Services segment revenues decreased by 22.5% and operating profits decreased by 55.3% due primarily to lower activity levels, coupled with lower pricing within the rental tools service line, the largest service line within this segment. On a sequential basis, RPC's first quarter consolidated revenues decreased from $469.9 million in the fourth quarter to $425.8 million, a decrease of 9.4%. Also, revenues in the first quarter decreased from $279.4 million to $268.2 million last year due to lower activity levels, primarily materials usage. Cost of revenues as a percentage of revenues increased 350 basis points from 59.5% in the fourth quarter to 63% in the first quarter of this year. This increase is primarily due to lower pricing for our services and resulting negative leverage on personnel costs. SG&A expenses as a percentage of revenues increased sequentially from 9.5% to 10.5% due to the decline in revenues. RPC's sequential EBITDA decreased 24.1% from $145.6 million in the fourth quarter to $110.6 million in the first quarter. And our EBITDA margin decreased from 31% to 26%. Our Technical Services segment generated revenues of $394 million, 9.4% lower than prior quarter revenues of $434.8 million, and an operating profit of $58.5 million compared to $85.6 million in the prior quarter. Our operating margin in this segment declined from 19.7% of revenues in the fourth quarter to 14.8% in the current quarter. Many of our service lines within this segment experienced lower pricing and utilization. Revenues in our Support Services segment declined 9.5% due primarily to lower activity and pricing in our rental tools business. Support Services operating profit declined to $6.3 million in the first quarter compared to $9.4 million last quarter. Our operating margin in this segment declined from 26.7% of revenues in the fourth quarter to 19.7% in the first quarter of '13. RPC's pressure pumping fleet during the quarter remained unchanged at 680,000 hydraulic horsepower. We currently have no additional pressure pumping horsepower on order, although our pump refurbishment program will remain an ongoing initiative. First quarter of 2013 capital expenditures were $53 million, a decline of $68 million compared to the first quarter of 2012. We recently reduced our 2013 growth capital expenditures. Currently, we expect to spend in total approximately $275 million on capital expenditures in 2013. Because we have high equipment maintenance standards, approximately 70% of total capital expenditures will be directed towards our pressure pumping fleet and other operating and support equipment. RPC did not relocate any equipment during the first quarter and we are satisfied with the geographic concentration of our equipment fleets and personnel at this time. We also know that we have a strong presence in several markets in which the composition of our customers' drilling and completion activities requires equipment and personnel to remain on site for longer periods of time. We have undergone some headcount reductions resulting from contract expirations and with our capital expenditure plan, they comprise our short-term [indiscernible] to the current operating environment. Our operating standards require us to maintain our equipment at very high levels and to invest in well-trained, competent crews who are capable of providing safe, high-quality services. We have the financial strength to continue these investments and our experience with past oilfield business cycles have shown us that this is the right way to earn high financial returns over the long term. RPC's outstanding debt on its credit facility at the end of the first quarter was $87.6 million, a decrease of $19.4 million compared to the end of the fourth quarter. And our ratio of debt to total capitalization is 8.8%. And with that, I'll turn it over to Rick for closing remarks.
Richard A. Hubbell: Ben, thank you. Our first quarter financial results reflect the impact of the lackluster operating environment. As discussed in previous conference calls, we have been concerned about natural gas prices and the natural gas drilling count -- drilling rig count that lingers close to a 14-year low. However, we are encouraged by the recent rise in the price of natural gas. When supply and demand dynamics and our markets improve, RPC is positioned to capitalize on opportunities that arise. Until that time, we will continue to closely monitor our operations and allocate capital prudently while maintaining a conservative capital structure. I would like to thank you for joining us on the call this morning, and at this time, we'd be glad to take any questions you may have.
Operator: [Operator Instructions] And we'll take our first question from John Daniel with Simmons & Company.
John M. Daniel - Simmons & Company International, Research Division: Just a few modeling ones for me. In the 10-K, you guys referenced an expectation that 2013 revenue would moderately exceed 2012. In light of the Q1 results, do you guys still maintain that view, and if so, can you walk us through how you'll get there?
Jim Landers: -- John, this is Jim. That verbiage in the 10-K reflected the fact that in 2013, we will have full utilization of revenue-producing fleets that we took delivery of in 2012 plus, as you know, a couple of coil tubing units in 2013. That's what was reflected at that time in our 10-K. Today, given the downward pricing pressure and that sort of thing in the first quarter, that statement is probably less certain.
Richard A. Hubbell: But clearly possible.
John M. Daniel - Simmons & Company International, Research Division: Okay. Just wanted to check. And then on the margin front, the change this quarter. Jim, can you just give us your thoughts? I mean, is there any expectation that margins can recover back to your Q4 levels? And also you mentioned some headcount reductions and things like that, cost reduction initiatives, were there any severance charges embedded in the numbers this quarter?
Jim Landers: John, the answer to your second question is, no, there were no severance charges or anything like that in the first quarter. No nonrecurring type of items. Regarding margins, the answer is, first, relating to pricing, when pricing might get better, and secondarily, utilization, because of cost absorption of higher utilization, higher revenues. The answer is, yes, things will get better but we're not sure when.
Ben M. Palmer: And the good news for us, John, let me point out, I think this sort of sets up the call as well is that I think it's important to note, we talked about in the fourth quarter how things had really slowed down for the holidays. We expected things would get off to a quick start and they didn't. And we're not going pound our chest or say, this is for sure an absolute, but at the end of the quarter, March was much better than January and February.
John M. Daniel - Simmons & Company International, Research Division: Okay. I guess what was surprising, I think, to some is I think there was commentary in the call in Q4 that roughly 90% of your fleet had been in the spot market in Q4. And so with the [indiscernible] and with spot pricing leveling out in some cases, I think there was an expectation that revenues would be a bit better behaved, and that wasn't the case. Well, I guess that's -- but you would expect margin improvement in Q2 just given the strong realization in the month of March and presumably April's off to a good start, I mean that's a thing we're hearing from a lot of folks. Would you share that?
Ben M. Palmer: Yes, I believe so. Yes.
Operator: And we'll take our next question from Andrea Sharkey with Gabelli & Company.
Andrea Sharkey - Gabelli & Company, Inc.: I guess maybe talking about any potential impact, have you noticed yet or do you anticipate seeing any change in customer attitude or plans given kind of 2 different competing factors, you have oil prices kind of coming down and then you also had natural gas prices coming up. I guess what are you guys kind of hearing or expecting as a result of that?
Jim Landers: Andrea, this is Jim. Regarding natural gas prices, I think we are not necessarily seeing yet but certainly hearing some indications that activity in some of the secondary areas might be starting to get better. I think in the Marcellus in particular, natural gas staying above 4 for a little while is a pretty good sign, and I think you'll see activity pick up in the Marcellus first. And then there's some other sort of secondary, i.e., not resource shale play markets in, say, Texas, Louisiana and Oklahoma that might pick up incrementally. Regarding the price of oil, the recent decline isn't causing any changes among our customers activities that we've noticed.
Andrea Sharkey - Gabelli & Company, Inc.: Okay, great. And then I guess maybe can you give us more specific details on, you said you didn't have any relocations of your fleet this quarter and you're happy with where they are. Could you give us a sense of kind of the breakdown of where they are located?
Richard A. Hubbell: Sure. Sure. I can just take that real quickly and get extra additional question. Our biggest presence is West Texas, the Permian basin. About 40% of our pressure pumping fleet is there. In South Texas, the Eagle Ford, we have about 16% of the fleet. We've got about 13% of the fleet in the Marcellus. 12% each in East Texas and the mid-con. We have a small fleet in the Bakken, that's about 3%. And then you're familiar with our refurbishment program and Ben actually alluded to it in his comments, that's the remainder of our rotation fleet that's not producing revenue at this time but is standing in for equipment that's being refurbished.
Operator: And we'll take our next question from Luke Lemoine with Capital One Southcoast.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: Jim, could you help me out with the product line revenue split that you typically give us?
Jim Landers: Revenue by service line, sure. For the first quarter of 2013, pressure pumping accounted for 52% of revenues. Our downhole motors and tools service line was 16%. Coil tubing was 10%. Nitrogen was about 5%. And snubbing was around 3% -- and I'm sorry, rental tools was a little under 5%.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: Okay. So in pumping, it looks like roughly the revenue drop was about $37 million there?
Jim Landers: That sounds about right. Let's see. Yes, that's about right.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: So just trying to lump that revenue decline into some broad buckets, it looks like you probably had an average price decline in the mid-single-digit, does that seem pretty fair kind of overall?
Jim Landers: . No, Luke, I would say it was higher than that.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: Okay. Higher than that. And then there was some impact from the Haynesville crew rolling off, correct?
Jim Landers: Yes. The Haynesville crew -- yes, that's correct. That rolled off on the spot market. Yes, that's right.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: And it still looks like you have fairly thin utilization in the Cotton Valley, is that pretty fair?
Jim Landers: In the Cotton Valley, yes, that's right. I mean that's certainly spot market for us out of our East Texas operational location.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: And maybe the Marcellus was a little weaker quarter-on-quarter as well.
Jim Landers: Yes.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: And then on the coil, revenues drop by about $9 million there. Was that more pricing or utilization or just kind of a combo of both?
Jim Landers: It was pricing this time with coiled tubing.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: Mainly that $9 million drop is pretty much all pricing?
Jim Landers: Yes, correct.
Operator: We'll take our next question from Neal Dingmann with SunTrust.
Neal Dingmann - SunTrust Robinson Humphrey, Inc., Research Division: Say, most questions were asked but just one thing, you mentioned in the press release and then, Ben, you mentioned again about not reallocated any equipment. Just wondering your thoughts now as you've seen sort of the year-to-date so far, any thoughts about that, I mean, given I think that it sounds like at least for the year we start out maybe a little bit slower than you were hoping. And it sounds like competition may be still a little bit higher than you maybe were hoping. So based on those 2 things, any thoughts, I mean would you take equipment to the Utica, would you take it to TMS, one of these new plays, or your thoughts about that now?
Jim Landers: Neal, this is Jim. Let me offer a couple of thoughts. You know our biggest single presence is in the Permian. Relatively speaking, there's a lot of exciting stuff going on there. I mean, year-over-year, the West Texas, the Permian Basin rig climb [ph]declined like 1.2%, but if you take out the vertical well decline, it actually increased slightly. And those wells have more net footage, more frac stages, things like that. That's the good news. The bad news is that it's competitive to be sure. But when we tell you that we're happy with where we are right now, that concentration in the Permian is helpful to us. We like the Marcellus as well. It didn't get as bad as some people thought, and we feel like there's some good opportunities there with natural gas prices rising as we remarked earlier. So I wish there was a basin where there was a lot of work and no competitors, but we don't have any of those. But I think we're as well positioned as we can be.
Neal Dingmann - SunTrust Robinson Humphrey, Inc., Research Division: And then Jim, wondering -- I assume at least for the foreseeable future, you would continue mostly almost exclusively in the spot market where you are now?
Jim Landers: Yes, that is correct.
Ben M. Palmer: I think that's right. I think I would characterize part of what I think we're going through right now too is sort of that transition, as we have alluded to, the transition from the contracts to the spot. We didn't have, speaking of pressure pumping, we did not have a super significant portion of our fleet under contract, but they were pretty substantial and we did roll off of those late last year. And I think there's just a transition period. We feel good about the fact that there's a lot of discussions with customers. I would characterize it as -- that it's less them trying to bottom fish, or maybe they are trying to bottom fish from the perspective that maybe they think things are down to the level where they want to begin to talk about locking in some pricing. So I think that's a good sign. We're going to remain disciplined in how we price our services. We're not going to give it away. We're not going to wear out our equipment without making an adequate return, whatever that is. I mean we're playing that. We're watching that. We're trying to watch our pricing strategies very closely. And we hope, we're just at that point where, again things are hopefully now flushing out. I think we got into contracts a little earlier than some people did, so we may have rolled out earlier than some other folks. So we're maybe just at that point where we're experiencing the impact of that and we're just -- it just takes a little bit of time to work through it, to get -- to transition from contract to spot and then into pricing agreements, then hopefully, eventually, into maybe more firm contracts again as the market improves.
Neal Dingmann - SunTrust Robinson Humphrey, Inc., Research Division: Okay. Great, great point Ben. And then last one, Ben, for either you or Jim. Historically and no even recently, you all have done, it seems like much better than the average as far as keeping raw material cost lower. In fact, I know you're even I think selling some guar at some point. It seem like you're to me at least that your raw materials went up, I would say I guess in proportion to maybe some others in the industry, which again we just -- in other quarters I mentioned, it seems like you guys were able to keep, I guess, a better lid on raw materials than this. Was there something about just in this last quarter where it was more abnormal and we would see sort of raw materials come back down more in line to what you all guys historically were, or just wondering the thoughts there?
Ben M. Palmer: Good question. Good point. I think that at this point, we're much more -- the story is we're more comfortable with our supply as opposed to the fact that we have a significant price advantage. We benefited from a significant price advantage some a year ago, especially the middle of last year. And now we don't have as much, again, a price advantage. But we do have a steady supply, which means a lot and is very beneficial and comforting to us and our customers. So I don't know that we are going to be experiencing any necessary, significant improvement to our margins because of the change in materials prices, but we're comfortable with our supply chain.
Operator: And we'll take our next question from Brian Uhlmer with Global Hunter.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: I have a couple quick questions on the remainder of your CapEx and where you're planning on allocating that, and also had a question with, well, on Thru Tubing, on the downhole tool side. Obviously, as a percent of revenues, it's increasing but primarily due to others dropping. How is that segment holding up? Are you going to allocate some more capital to that segment?
Jim Landers: Thru Tubing is holding up well. We continue to invest in it. It luckily is not as capital intensive as some of the other service lines so it doesn't soak up a whole lot of capital. But we have opened some additional locations. We're still focused internationally, growing it internationally as well. And we have opened up a couple of new domestic offices as well to help us better serve our customers in particular basins. So it continues to do very well, and they continue to be a real innovative and coming up with new products to help that growth continue.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: Okay. Fair enough. I had a question on rental tools. I think you're fairly oil levered in the Bakken and Eagle Ford. I'm just kind of curious if there's specific types of tools that were pricing pressure or it's just across the board overcapacity due to kind of those plays not picking up as fast as expected. And how are you looking at that as it advances throughout the year?
Jim Landers: Brian, this is Jim. It's more of the latter, overcapacity in rental tools both from the bigger players as well as the fact that rental tools businesses is fairly fragmented. So you kind of get it from both sides when drilling activity is lower than you might think. We continue to invest in drill pipe that works better in some of the directional drilling and so that's some of our CapEx towards that, although it's minor in the grand scheme of things. So rental tools remains good business, but it certainly had a lot of weakness in the first quarter.
Brian Uhlmer - Global Hunter Securities, LLC, Research Division: Okay. And then -- I'm sorry if I missed this. Did you state what percent of your pressure pumping is on 24-hour ops earlier in the call?
Ben M. Palmer: We did not. At the present time, about 12% of our pressure pumping fleet is on 24-hour operations.
Operator: And we'll take our next question from Michael Cerasoli with Goldman Sachs.
Michael Cerasoli - Goldman Sachs Group Inc., Research Division: I think it would be helpful to understand a little bit more about the specifics, that turned what appear to be a decent January. In February, was it an overall activity decline? Was there a similar amount of bidding occurring and the market is just more competitive and jobs didn't come through? And did weather play any role?
Ben M. Palmer: I was about to reiterate it's kind of January and February were weak. Exactly why, again, we slowed down more significantly. Some people in the company said that we were, talking about the fourth quarter, that it was one of the worst holiday slowdowns they'd ever seen, and we expected it to snap back and it didn't. So, again, January and February were pretty slow. I'm not aware of any or don't recall any discussion about differences in bidding and things like that. I think it was just a slow startup for us and our customers.
Jim Landers: Mike, this is Jim. There was a little bit of weather slowdown in the mid-con for us in the beginning and middle part of February, and it was measurable but it wasn't material enough to necessarily discuss on this call. So a little bit of weather slowdown but nothing serious.
Michael Cerasoli - Goldman Sachs Group Inc., Research Division: Okay. And then you mentioned earlier about how March was better than February. Can you give us an idea on the order an magnitude? Was it just a slight tick up? Was it more [indiscernible] than that? Did it continue on into February -- into April?
Ben M. Palmer: It was other than negligible and I wouldn't want to project beyond that. I mean, it certainly didn't reverse course, but we're certainly pleased with it. And certainly, we're not sitting here right now and saying we've called the bottom and there's no way it's going to go any other direction, but certainly more recently has been much better than January and February, better than January and February.
Michael Cerasoli - Goldman Sachs Group Inc., Research Division: That's good. And then just out of curiosity, as a result of the lower utilization, did any of your fleet move into the yard in the first quarter or maybe maintenance schedules are accelerated, or was it really just a matter of when you talk about lower utilization, you're saying it's just kind of more gaps in between jobs?
Ben M. Palmer: Yes, I think more gaps between jobs. And interestingly, what we're hearing a lot of too, the problem with the spot market or the one of the complications with it from an efficiency standpoint for us or utilization standpoint for us is that if anything -- when you're on contract and you're committed to a particular customer, you work back and forth and you coordinate your schedules and it's something -- if the customer is delayed, we're delayed, but we know that we're going still be working for that customer. In the spot market, we aren't seeing this is a headwind. We're experiencing where we get lined up, we're ready to go, customer has a delay, but unfortunately we already have something else scheduled behind that so we miss that opportunity. So there is some of that taking place as well. It's inefficient for us. It affects our utilization. But it's just something we have to work through. But if being -- having those more firm, if we could transition from the absolute spot market into reasonable pricing agreements and more of a commitment with the customer so that we're not missing out on revenue days that could be made up because you're still going to be working with that customer and they're going rush to try to catch up, it'll help us and I think will help the customers too, because they're seeking and we're seeking to be a lot more efficient together. And I think right now, again, with the spot market and the way it is, things moving around and all the transition, that's a complication. But hopefully, that's going to work through and everybody is going to realize that they're better off if there is some of this alignment of resources and schedules on these more complicated completions. And right now, I think people are just moving around because of the nature of pricing right now. But with little more firmness, I think that will improve.
Michael Cerasoli - Goldman Sachs Group Inc., Research Division: Okay. And then just my final question. You talked about, well, kind of on back of the complicated -- more complicated completions. Just slickwater versus more gel-based fracs, have you seen any sort of preference from operators on one versus the other in terms of what they're ordering?
Jim Landers: Mike, no changes in preference there. So there's nothing more to report in that area.
Operator: And we'll take our next question from Jeff Tillery with Tudor Pickering Holt.
Jeff Tillery - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: As I'm trying to think through the dynamics, I think to one of the questions earlier, you indicated you thought Q2 revenues and margins both would be up sequentially. And I think -- my guess is that is a function of kind of the weakness in January and February not recurring, but I guess my question is, one, is that what you intended to indicate? And then two, is pricing going to be lower sequentially in the second quarter just given the magnitude it seemed to have declined in the first quarter?
Jim Landers: Jeff, this is Jim. I think you hit on the 2 major variables. We do believe at this point that because of higher utilization, we will do better in second quarter than first. What we are seeing -- what we have seen in the first quarter is very harsh pricing action usually from some of the smaller players. I want to call it irrational, but I also acknowledge that's self-serving. It is the pricing that they're doing and they're working at that pricing. And we've seen that in past cycles. I think we expected that this sort of irrational pricing behavior on the part of our competitors would end sooner than it has. Given the fact that it hasn't ended sooner than we thought, it's hard for me to say it's ending here in April and May.
Michael Cerasoli - Goldman Sachs Group Inc., Research Division: Any particular regions stick out where that's more prominent?
Jim Landers: Probably the mid-con is the most difficult in pricing.
Michael Cerasoli - Goldman Sachs Group Inc., Research Division: Okay. My last question, you answered the question in relation to severance cost in first quarter, but anything unusual in the first quarter such that we shouldn't use kind of the Q1 is the baseline from which to project going forward?
Jim Landers: It was a clean Q.
Operator: And we'll take our next question from Mike Marino with Stephens Incorporated.
Michael R. Marino - Stephens Inc., Research Division: Question on the pricing, specifically pumping. How would you characterize the spot market as having stabilized or is it still moving lower?
Ben M. Palmer: Reasonable question. I think there hasn't been enough time passed. Again, the fourth quarter was unusual starting out -- the fourth quarter was unusual, starting out the first quarter was unusual. So we're not sure, not sure in that short of a period of time and with those unusual occurrences that we can really make a comment on that at this point. But as I alluded to, there are discussions with customers that appear to be something other than them trying to derive the absolute bottom pricing. So maybe that's an indication that there are discussions about pricing agreements. So maybe they do believe that, it would indicate to me that we're closer to the bottom than we would have been a few months ago.
Michael R. Marino - Stephens Inc., Research Division: That make sense. And maybe the same question for coiled tubing and kind of the pricing, how to look dynamic there?
Jim Landers: Michael, this is Jim. The earlier comment was that pricing certainly declined in the first quarter. There's still new coiled tubing units coming to market, both among established players like us and new entrants. So just the supply-demand variables would tell you that pricing is going to continue to be difficult in coiled tubing for a while.
Operator: And we'll take our next question from Daniel Burke with Johnson Rice.
Daniel J. Burke - Johnson Rice & Company, L.L.C., Research Division: This has been attacked from a lot of different angles. But then you do have a pretty heavy concentration of horsepower in the Permian where it seems as though rig activity has held up relatively well year-to-date. Any comments on how your Permian activity and pricing transitions are held from Q4 to Q1?
Jim Landers: Daniel, this is Jim. We characterize that as a market with a lot of positive characteristics. We talked earlier about the increasing directional and horizontal rig count in the Permian versus the traditional vertical, and we all know what that can do for utilization for service lines like ours. However, at last count, there were 38 pressure pumping companies in the West Texas region competing for business. So pricing declined sequentially in the spot market in West Texas because of that increased competition. And it's kind of hard to give you an exact number, but pricing was difficult in the Permian.
Daniel J. Burke - Johnson Rice & Company, L.L.C., Research Division: Okay, that's helpful. And then just on the headcount reductions then. I haven't heard, just to confirm, you all haven't stacked out any crews, that would simply be scaling back from a larger amount of 24/7 work then?
Jim Landers: Well, just as some of our fleets went from contract to spot, which occurred at the end of third and in the fourth quarter, and as that transition happened, we had some layoffs, attrition, people who didn't want to move, whatever. But let's be clear. One of the features of the oilfield right now is that it's hard to get good people, so we haven't laid off good people and we haven't stacked any crews that moving -- or stacked any equipment or told any crews to go on furlough and come back when we call you. It's just kind of what happened with the changing nature of the work, and the headcount reductions were minimal. We did want to mention them though because that's something that certainly hasn't happened in the past 8 or 10 quarters.
Operator: [Operator Instructions] And we'll take our next question from Matt Conlan with Wells Fargo.
Matthew D. Conlan - Wells Fargo Securities, LLC, Research Division: So in the first quarter, the larger integrated service companies, you know seemed to show better resiliency of their operations. Some even reporting sequential increases in utilization. I was hoping to get a better understanding of why. I mean, are they catering to different customers or are they bundling services? Is there any explanation for why they seem to have better sequential performance than, not just you, but other smaller competitors?
Jim Landers: Yes, we noticed that too. Some of it might be bundling services. That's a characteristic of their operations more so than ours. Their, meaning larger companies, versus ours, that might be part of it. Part of it might be a scale that lets them move around a bit more and catch, I'm using our industry vernacular now, but catch work because they've got some extra crews available or extra -- just their scale allows them to be a little more flexible, that might be a part of it. We do know that they're being more aggressive on pricing. However, it does translate into apparently higher revenue, which we have to acknowledge. So I wish we had a good answer, but we don't.
Operator: And we'll take our next question from Luke Lemoine with Capital One Southcoast.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: Jim, you said that 12% of your horsepower is now doing 24/7, which means you probably added 1 fleet in addition to the Eagle Ford fleet that was on 24/7. Is that incremental 24/7 fleet in the Marcellus?
Jim Landers: Yes, it is. But it's not like we added an incremental fleet as in adding horsepower. That's just a fleet that's been working on 24-hour operations, yes.
Luke M. Lemoine - Capital One Southcoast, Inc., Research Division: Okay. And what's the potential for putting a fleet on 24/7 in the Permian?
Jim Landers: In the Permian, that's a good question. We don't know of any 24-hour opportunities right this moment. It's always a possibility, but that's...
Ben M. Palmer: It seems to be less prevalent at this point. Again, as Jim mentioned, we have done not any 24 hours crews in that area yet, but something we'd be willing to entertain.
Operator: And with no further questions, I'd like to turn the call back over to Jim Landers for any additional or closing remarks.
Jim Landers: Okay, thank you, operator. We want to thank everybody who called today and participated by asking questions. We do appreciate it. Hope everybody has a good day. Talk to you soon.
Operator: This does conclude today's conference. As a reminder, the conference call will be replayed on our website in the next 2 hours following this call. Thank you.